Norman H. Asbjornson: Good afternoon. Norman Asbjornson here for AAON. Before I go on forward, I'd like to read the forward-looking disclaimer. To the extent any statement presented herein deals with information that is not historical, including the outlook for the remainder of the year, such statement is necessarily forward-looking and made pursuant to the Safe Harbor provisions of the Securities Litigation Reform Act of 1995. As such, it is subject to the occurrence of many events outside AAON's control, that could cause AAON's results to differ materially from those anticipated. Please see the risk factors contained in our most recent SEC filings, including the annual report on Form 10-K and the quarterly report on Form 10-Q. I'd like to introduce Scott Asbjornson now, our CFO, who will take over.
Scott M. Asbjornson: Welcome to our conference call. I'd like to begin by discussing our comparative results of the 3 months ended December 31, 2012, to December 31, 2011. Revenues were up 23% to $78 million from $63.4 million. Revenues increased due to gains in market share in the non-residential and replacement markets, and also as a result of price increases introduced earlier in the year. Gross profit increased 116.6% to $18.7 million from $8.6 million. As a percentage of sales, gross profit was 24% in the quarter just ended, compared to 13.6% in 2011. The improvement in gross profit can be attributed to changes in commodity costs, increased product prices, improved product mix and productivity. Selling, general and administrative expenses increased 18.2% to $6.6 million from $5.6 million in 2011. As a percentage of sales, SG&A was 8.5% of total sales in the fourth quarter of 2012 and 8.8% in 2011. The dollar basis increase in SG&A from the quarter ended December 31, 2011, was primarily due to higher profit sharing expense, employee compensation and stock-based compensation. Operating income increased 889.7% to $12.1 million or 15.5% of sales from $1.2 million or 1.9% of sales. In 2011, the company had a loss of $1.8 million on the trade in of old equipment. Also, the fourth quarter of 2011 included nonrecurring charges such as inefficient sheet metal production due to the changing out of approximately 50% of our capacity in a short period of time, in order to have our new equipment operable by the end of the year. Numerous costs expensed during the change out of the equipment, inefficiencies in production due to lack of sheet metal parts in a timely fashion and costs associated with relocating 3 assembly lines and rearranging 2 other assembly lines. Our effective tax rate increased from 35% to 37% due to adjustments in the quarter. Net income increased 770% to $7.6 million or 9.7% of sales from $0.8 million or 1.4% of sales. The increase is due to the reasons already discussed in operating income. Diluted earnings per share was $0.31 per share versus $0.04 per share. Earnings per share were based on 24,630,000 shares versus 24,821,000 shares in the same quarter a year ago. The results of the year ended December 31. Revenues were up 13.9% to $303.1 million from $266.2 million. Gross profit increased 52.3% to $70.5 million from $46.3 million. Gross profit as a percent of sales was 23.3% for the year ended December 31, 2012, compared to 17.4% in 2011. Selling, general and administrative expenses increased 17.7% to $26.3 million or 8.7% of sales during 2012 from $22.3 million or 8.4% of sales. Operating income increased 99.5% to $44.2 million or 14.6% of sales from $22.2 million or 8.3% of sales. Net income increased 96.3% to $27.4 million or 9.1% of sales from $14 million or 5.3% of sales. Diluted earnings per share is $1.11 per share versus $0.56 per share. Earnings per share were based on 24,699,000 shares versus 24,881,000 shares in the same period a year ago. Moving to the balance sheet. We see that we had a working capital balance of $51.9 million. Our current asset ratio was approximately 2.3:1. Our capital expenditures were approximately $14.1 million. At December 31, 2011, the company had $3.8 million of capital expenditures and accounts payable that are included in the cash outflows of $14.1 million for 2012. Shareholders' equity per diluted share is $5.59, compared to $4.92. We paid cash dividends of $8.8 million in 2012. I'd now like to turn the call back over to Norm, who will discuss our results in further detail, along with the new products and the outlook for the remainder of the year.
Norman H. Asbjornson: Thank you. Despite a very difficult environment in which sales or opportunities within our industry were approximately flat to slightly down, our sales were up to 23% in the quarter and 14% for the year. All of this was primarily due to the following [indiscernible] things which occurred with us. We increased our market share considerably. We did have some price increases. These were done -- the increase in sales were primarily the result of redesigned products and new, improved sales offices. Our replacement market, versus new construction, continued to be this dominant force. In other words, replacement market was approximately 55% or 56% of our total sales. Geothermal, which has been doing very well recently, continued to do well. However, it has been impacted by the dramatic decrease in the cost of natural gas. So it lends a little bit more questionability to geothermal going forward. Chillers and air-handlers continue to slightly gain market, as did split systems. In addition to which, our new 4x4, which is designed primarily for the very high-rise buildings with 30, 40, 50, 60 or more stores -- stories, continued to gain market share. However, that type of office building has not been very prevalent for the past year. Looking at various market segments to determine where we're getting our business. Commercial and retail has been relatively flat to slightly positive. Office buildings did experience a fairly substantial upswing to somewhere in the 8% or 9%. Medical and health buildings, however, were flat to slightly negative. Education was definitely negative, with perhaps a decrease of as much as 5%. Education, it should be noted here, is the largest single source of our business. It virtually doubles the size of any other larger market building type that we have. Manufacturing continued to gain and gained perhaps 5% during the year. Margin was up significantly, up to perhaps 11%. But if you put all the total dollars together and said, "What does that give you in the net?" It says it was flat to possibly down a little bit, or up a little bit. It's very questionable as to whether it was up or down. Going forward and looking and seeing what some of our other our indexes were, our backlog at 12/31 of '12 was $43,570,000 versus $43,993,000. In other words, basically a push at the ends of the years. Incoming order rate, that has occurred so far in 2013 compared to 2012, is down approximately $3.5 million from a year ago. Gross profit on sales went up last year, 24%, compared to 14%, and year-to-date, was up 23%, compared to 17% in 2011. SG&A as a percent, as was noted before, went down to 8.5% from 8.8% in 2011. For the year 2012, the incoming order rate or incoming business for the first 2 months of the year of last year compared to the first 2 months of this year, as I noted, had an incoming order rate 3.5% less. However, on the better side of that, we did have a marginal price increase and a profit increase in our sales. This offset this somewhat little decline in the volume. For the year, as a whole, going forward into 2013, we are still anticipating a flat-to-slightly-rising market share. So although we have experienced a little bit of slackness in the incoming orders in the first 2 months of the year, it's anticipated this is picking up and will, for the year as a whole, give us an up -- a slight upswing. Most of that upswing we expect to start seeing in the latter part of the year. However, the first quarter will continue, as we see it right now, to be very profitable. Net income last year for the quarter -- the fourth quarter, compared to a year ago, was up 770%, compared to 96.3%, up for the year. The 76% -- $76 million up in the fourth quarter compared to $0.9 million in 2011 and for the year as a total, it was $27.4 million compared to $14 million. If you remember, back in 2011, we did a huge amount of change within the company and we paid a price for it. However, we benefited from it in 2012 and we will continue to benefit going forward in 2013 and future years because we basically moved things that would normally be done over about a 3-year timeframe all into the year 2011. We've increased our liquidity. We've given a special onetime dividend last year. And the outlook for 2013, at present, we said our backlog was -- roughly comparable at the end of 2012 to the end of 2011. But on March 1, our backlog this year was $51.1 million compared to $55.3 million, March 1, 2012. So we have that $3.5 million, that I spoke of, that we've lost in orders so far in the first 2 months, is showing up directly in the backlog. Gross profit, as I've indicated, is however slightly better so far this year than it was last year. Capital expenditures, as mentioned before, I told you last year we would have about $8 million to $10 million in capital expenditures. And due to a carryover of unrecorded capital expenditures from 2011, we ended up with $14 million. But the actual commitments and outlays of new capital expenditures last year were slightly over $10 million. We expect to be in the $8 million to $10 million area again this year. I'd like to open it up now to questions. Claire [ph]?
Operator: [Operator Instructions] Our first question comes from Joe Mondillo.
Joseph Mondillo - Sidoti & Company, LLC: First question. Just in terms of the quarter, could you just give us some color or your thoughts on how, sort of, the quarter sequentially, looking at -- compared to the third quarter, you saw the sequential jump. Just given that seasonally you do see a weak quarter, why do you think you saw sort of the demand there?
Norman H. Asbjornson: Well one of the things which happened in the fourth quarter last year is because of all of our improvements in our manufacturing capabilities, we were able to ship everything anybody decided to take. By near the end of the fourth quarter, lots of times we get delays and slowdowns. This last year, we did not get the delays and slowdowns and so far, this year, we did not get the delays and slowdowns that we have had in the past. So that pushed more stuff into the fourth quarter than we probably would have normally pushed into it out of the first quarter of this year. And that gave us a little boost in volume. The business, we've been doing well at getting orders and it's just that we're now much more on top of our orders and shipping as soon as people will accept shipments.
Joseph Mondillo - Sidoti & Company, LLC: Okay. But seasonally, you usually see a weaker fourth quarter compared to the third quarter. That's correct, right?
Norman H. Asbjornson: That is correct.
Joseph Mondillo - Sidoti & Company, LLC: Okay. So it's just maybe just an anomaly this year? That you saw a...
Norman H. Asbjornson: As far as I can see, it is. Because while we've had a weak 2 months in bookings, we're going to distort it a little bit this month because we are having a price increase. And all -- any time we get a price increase, we drive a lot of business in. And it is coming in this month just as we would anticipate it would. So it will be a little hard for another month or 2 to really say that we've got an either up or down heading in our orders. But for the first 2 months, it definitely was softer, but the third one, it definitely will be heavier.
Joseph Mondillo - Sidoti & Company, LLC: And what is that price increase that you're...
Norman H. Asbjornson: Probably on an average of some -- it varies, but it probably averages somewhere in the 3% to 4%.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And the next question, just regarding some of your comments that you expect sort of an improvement in the back half of the year. Just wondering sort of there's anything in particular other than sort of just the general feel that the economy is getting better that makes you think that given that your backlog and orders have been sort of weak in the first 2 months of the year?
Norman H. Asbjornson: Yes. We launched the Architecture Billing Index. It went positive earlier last -- well in the fall of last year, it went positive. And it stayed -- it's still running, as far as I've seen, at last running somewhat positive. So it says that the people will have a need for a building and they're asking architects and engineers to design the building. But if I look at the buildings being put in place, that hasn't taken off yet. And there's gettng to be a larger disconnect between what the architects are designing and what the people are actually building. And that disconnect, as near as I can see, if you look at the anxiety index of the business community, which is a published figure, it shows that the anxiety index is higher than normal by a fair margin. And so, I attribute the fact that, that and the fact that while they're willing to have them design a building, and invest 5% to 8% in doing that, they're not willing to pull the trigger and actually commit to a contract, and so the buildings are not moving forward in a direct relationship. That's an abnormality that I think we'll correct once -- whatever the people's concerns are is modified somewhat, it's probably due to the turmoil we're seeing in what's going to happen on sequester and tax increases and all of that. And the people are just kind of sitting back, not committing to the actual building of the buildings right now. I don't think that's going to continue because when you're willing to spend money to do the architecture work and the rest of the design work, I think at some point all of that is going to start coming loose, which I anticipate to happen sometime in the latter part of this year.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just last question. Regarding, sort of, your use of cash. You've done a lot of internal initiatives and investment and you've done a lot of spending within the business. Your balance sheet is still extremely strong, no doubt, in the balance sheet and the economy seems to be improving. So just wondering what your sort of idea on use of cash is? And also on top of that, what do you expect for CapEx for this year?
Norman H. Asbjornson: $8 million to $10 million. We really -- basically, at this point in time, we're out there doing things that are improving productivity. We're kind of in the finish. It's no longer "I have to have, "I have to spend", it's should we spend and get the long-term benefit from improved productivity either by building improvement, building a slightly additional building or 2, or else, buying machinery. So I could very readily shut down the CapEx thing totally and not really harm us too much on the short-term. But what we're doing now is more on a longer-term, we're doing things that will benefit the company long term. And as soon as they're done, they'll give us a benefit. But I mean, it's really -- we're really no longer in a necessity type so much as we are in the luxury type of investment for CapEx.
Joseph Mondillo - Sidoti & Company, LLC: So it seems like you're going to be generating a lot of cash -- a lot more cash this year, just given the earnings improvement and CapEx sort of coming down the -- from the past couple of years. Any chance that we get share purchases or anything else, I don't know, acquisition front or anything like that? Or sort of still, sort of just going to be conservative and sort of focusing on the internal initiatives?
Norman H. Asbjornson: We're in the process of talking about what the proper way to distribute the cash is. As you know, other than what we think we have a need for, for whatever reason, we try and find the best method to distribute cash to the stockholders, and that's still our policy. So in all probability, unless we get the anxiety attack stronger than we have it right now, we will either increase our dividend or buy back stock or a combination of the 2.
Operator: The next question comes from Jon Braatz.
Jonathan P. Braatz - Kansas City Capital Associates: The price increases you talked about, 3% to 4%, are they reflective of some of the costs -- some cost pressures you're seeing in steel and component parts or -- and so on?
Norman H. Asbjornson: Not too much right now. We're trying to do what we have failed to do in the past. We're trying to be a little bit anticipatory and get a backlog that reflects what we think we're going to pay for stuff down the road. We're pretty convinced that there's some cost increase that's going to be happening. We hear a lot of rumbles but we don't see too much of it yet. And so we're going on with a price increase which will, of course, give us a bottom line increase because this will take 30 days before we start getting the new orders in so that will push it out to the end of April. And then from then on, we still have the backlog which will be, probably couple months, where the backlog in May and June are still going to be on the old pricing. And so, the new pricing really isn't going to click in until July as far as our bottom line. We anticipate at some place out in there, we're going to see cost increases that is going to justify what we're doing. Normally, in our industry, and normally what we've done in the past as we start getting clobbered with the cost increases before we get the price increases out there, and we're just going to try it a little different way and try and get ahead of the game this year.
Jonathan P. Braatz - Kansas City Capital Associates: Your -- do see the competitor -- your competitors doing the same thing?
Norman H. Asbjornson: No. I think we're going to kind of lead the pack. They may be doing it, because I don't really know. We've seen some of them do some things, but as a general rule, I wouldn't say that it's been done across the board or anything.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. Given the general economic scenario that you presented, or market environment that you presented, would you expect to see your replacement market, as a percent of your revenues, grow from that 55%? Do you think that's going to be a bigger market this year?
Norman H. Asbjornson: I look for it to remain about steady. Here's the 2 things that I see happening: one, if the people who are spending their money to design these new buildings go ahead and start giving contracts out on them, new construction is going to get going quite well and give us a distinct growth in the new construction market as opposed to the past year. The replacement market got a lot of boost in 2011 when they could do 100% write off on replacement of certain capital things which included a lot of our stuff. And the 50% went through last year and was extended into this year. So that this year and last year, kind of, just a tail off of the 100%. So you might say, "Well if they don't put the 50% into next year, they'll pull stuff forward." Well they -- we expected it to drop this year and it didn't, they extended it. So that -- probably -- they probably won't get very much pulled in this year from next year because I think they probably think that they're going to extend it, most people are. The one thing that is occurring, and it's going to occur more and more as we go forward, is R-22, which was the refrigerant of choice for years and years, is being priced through tax incentives and arbitrary demands by the federal government, that the people who manufacture it can only manufacture so much and it's less every year, and considerably less this year. So that's driving the price of R-22 refrigerant up considerably, enough so that we have heard one school district say that if they had a unit that leaked -- had 2 leaks in it in the year. The cost of repairing and replacing that refrigerant and the possibility of having it again, they don't really much care whether the units were worn out or not, they're going to replace it which may be a trend that's coming because the cost of putting R-22 in is getting quite expensive and people are getting a little skittish about keeping that type of equipment on their roof or in their buildings anymore. So if that continues, that trend, that's going to drive the replacement market up very fast, if that kind of thinking gets taking hold. And it good because, as I say, the government is putting quite a crimp in the availability of new R-22 refrigerant.
Operator: There are no other questions at this time.
Norman H. Asbjornson: All right. Well thank you for attending our conference call on the year 2012. Appreciate it, appreciate the support that you've given us, and look forward to a good year with you again this year. We're modestly optimistic, I guess, we'd say. Thank you. Bye.
Operator: This concludes this afternoon's teleconference. You may now disconnect.